Operator: Good morning. My name is LeToya, and I will be the conference operator today. At this time, I would like to welcome everyone to the Fourth Quarter 2016 Shell Midstream Partners Earnings Call. [Operator Instructions] I will now turn the call over to Courtney Selinidis, Investor Relations Officer. You may begin.
Courtney Selinidis: Thank you. Welcome to the fourth quarter earnings conference call for Shell Midstream Partners. With me today are John Hollowell, CEO of Shell Midstream Partners; Susan Ward, CFO; Shawn Carsten, CFO-elect; and Kevin Nichols, Vice President, Commercial. The presentation materials shared this morning can be found on our website, shellmidstreampartners.com, under the Events & Conferences section. Slide two contains our Safe Harbor statement. We will be making forward-looking statements related to future events and expectations during the presentation and Q&A session. Actual results may differ materially from such statements, and factors that could cause actual results to be different are included here, as well as in this morning’s press release and under Risk Factors in our filings with the SEC. Today’s call also contains certain non-GAAP financial measures. Please refer to this morning’s press release and appendix one of this presentation for important disclosures regarding such measures, including reconciliations to the most comparable GAAP financial measures. We will take questions at the end of the presentation. With that, I’ll turn the call over to John Hollowell.
John Hollowell: Thank you, Courtney, and good morning, everyone. Shell Midstream Partners generated $69.5 million of net income, up some $13 million or 23% from the third quarter; and total cash available for distribution was $82.7 million, an increase of 35% from the prior quarter. Now, Susan will discuss the financial results late in the presentation. But for me, there are three key things that are important to highlight today. We had a good quarter, both operationally and financially which is a direct result of executing our strategy. In December, we made an acquisition that further supports our strategy in the Gulf of Mexico. And finally, we are seeing the positive impacts of organic growth across our onshore and offshore portfolio. As we get 2017 kicked off, I’d like to reiterate our strategy and what we’re focused on at Shell Midstream Partners, which has not changed. We’ve been busy building and growing a mainstream midstream portfolio of fee-based assets with dependable cash flow. And we’ve done so with the full support and backing of our sponsor Shell who remains encouraged with the long-term potential of the MLP within a larger role of that Shell portfolio. My team and I continue to be focused on building the business through dropdowns, organic growth projects and third-party acquisitions. Dropdowns from Shell will continue to be the primary vehicle for growth in the near-term, and Shell’s size and scale affords us an unmatched runway of assets that can be dropped into Shell Midstream Partners. We’ve also undertaken organic growth projects directly at the partnership level. Today, we are investing capital to optimize and improve the operational capabilities of our existing asset base, but there will be a day when Shell Midstream Partners can take on larger scale growth projects that are currently happening at the sponsor level. Projects like the ethane supply system for the Pennsylvania cracker and the Mattox pipeline, which is the export pipeline for Appomatox field in the Gulf of Mexico. And finally, third party acquisitions also play a role in our growth strategy. The recent acquisition from BP is a great example of an opportunity that enhanced our portfolio and directly support our strategy to own corridor pipelines offshore. Shell Midstream Partners purchased a 10% interest in the Endymion and Proteus pipelines in the Eastern Gulf of Mexico, which are currently connected to BP’ Thunder Horse platform. In the future, the Mattox pipeline, which is currently under construction by Shell Pipeline Company, will connect to these pipelines. And this creates a strategic new corridor pipeline anchored by sales at the Mattox field and delivered into the caverns in Clovelly, Louisiana. It is also important to note that Shell pipeline intends to assume operatorship of Endymion and Proteus on behalf of Shell Midstream Partners. Now, this has been official, because as many of you know, Shell Pipeline Company already operates a large network across the Gulf of Mexico. And we can integrate Endymion and Proteus into our existing operations, which will create cost synergies for the new pipelines as well as our existing portfolio. We also see near-term growth on Endymion and Proteus, well ahead of the Appomatox field reaching first oil. At Thunder Horse, a new subsea project recently came on line 11 months ahead of schedule. Two new wells are currently producing and two more wells are projected to be on line in early 2018. And once all four are on line, the project is expected to produce 50,000 barrels per day. So, this transaction makes sense for a lot of reasons. But again, the most important thing is that Endymion and Proteus support our corridor pipeline strategy, which is the cornerstone of our offshore footprint. This chart, which I’ve shown you before, demonstrates the resiliency of our corridor pipeline strategy. Our corridor pipelines attract new reproduction from upstream development that’s occurring in and around our footprint, even when the markets are difficult. In 2016 alone, we benefitted from production coming on to our systems from new fields like Julia, Coelacanth and Odd Job as well as infill drilling at Tahiti, Jack St. Malo and Delta House. In addition, anchor platforms already connected to our systems also continue to increase production. The great example of this is Olympus, while first oil was achieved back in 2014, the field hit a new peak production rate in 2016 at the end of the year after bringing in new wells on line during the year. As we look to this year and next year, we anticipate continued growth on our systems from new upstream projects that are slated to come on line in the near-term. We foresee significant growth coming from Mars as Stampede and Big Foot tie into Amberjack in 2017 and 2018. These times Amberjack ultimately connects into the Mars system. We also anticipate continued growth on Odyssey and Delta, which looks to be around 6% through 2018. From existing platforms like Delta House and future tie-back opportunities like Horn Mountain Deep and Stonefly. And growth on our Auger system is projected to occur early in the next decade as projects like Tigress, North Platte and Shenandoah continue to progress and mature. So from a strategic viewpoint, it’s clear that we own the right pipe in the right place. However, as you know, we’re more than just an offshore story. And I am certainly proud of the impressive portfolio of assets we’ve built at Shell Midstream Partners. We now own all of or interest in 12 diversified midstream assets, ranging from an onshore crude system serving key markets along the Gulf Coast and expansive portfolio of offshore crude pipelines spanning all the major production areas in the Gulf of Mexico, a crude oil terminal in the Midwest and two of the largest refined product systems in North America. And if I could bring your attention to the pie chart on the bottom of slide five here. The cash generated from our portfolio is well-balanced, nearly 50-50 onshore versus offshore. And this diversification is another important element of our growth strategy. Now, let’s turn to the operational results of the quarter. Overall throughputs were high in the fourth quarter as we added the Odyssey pipeline to our portfolio and saw increased spot volumes on the Zydeco system. As you will recall, the Odyssey pipeline extended the offshore footprint into the active Eastern Gulf of Mexico. The pipeline has a capacity of 220,000 barrels per day with connections to over 20 fields including Delta House, Horn Mountain and Petronius. And in October last year, a new tie-back to the Delta House platform came on line. The LLOG operated Odd Job field ramped up to 12,000 barrels per day at the end of 2016 and it continues to ramp up. Now, increased volume from Odyssey and Zydeco was partially offset by lower volumes on Mars. Reported throughout volumes on Mars were low about 65,000 barrels per day compared to the third quarter, but that’s a reflection of storage activity and not actual throughput on the pipeline. The bottom-line is that Mars has seen material growth over the past two years with underlying production hitting rates over 400,000 barrels per day, up more than a 100,000 barrels per day from late 2014. Now, moving to the onshore. We saw increased spot volumes and higher cash available for distribution related to Zydeco in the fourth quarter, primarily due to organic growth projects which were completed in late 2016. Now, there are a lot of moving pieces on Zydeco, so I think it’s worthwhile spending just a bit of time going through each of these projects and have a impacted of operational and financial results. In September, we completed the Sun Connection in Nederland allowing this system to handle an additional 95,000 barrels per day from Nederland into St. James and Clovelly and also allowing us to trigger the full commercial terms of one of our committed shippers. Now, as we signaled in the third quarter, we saw $11 million of deferred revenue credits build up in the fourth quarter, primarily due to the new connection. This amount will not be reflected in revenue and subsequently EBITDA until the credits are used or expired within the next 12 months. A total of $8 million was added back to cash available for distribution in the fourth quarter, which is the $11 million of deferred revenue, partially offset by previous credits that were used or expired during the fourth quarter. Now, in addition to the Sun Connection, we completed upgrades to our Houma terminal to facilitate a joint tariff agreement with low LOCAP that moves Poseidon volumes from offshore into Houma and St. James, and we call this movement, the outer belt. Prior to the outer belt movement, Zydeco was capacity constraint between Houma and St. James, and the outer belt removed the constraints. And in the fourth quarter, offshore spot volumes in the Houma reached an all time high. So, these two projects are really good examples of where we’ve taken initiatives to grow the business. The Sun Connection and the outer belt movements have created a step change for Zydeco. So while market dynamics and individual customer needs will continue to evolve, these two projects position Zydeco to attract and retain volume well into the future. And with that, I’ll turn the call over to Susan to walk you through the financial results for the quarter. Susan?
Susan Ward: Thanks, John. Good morning, everyone. Financial performance for the fourth quarter as well as for the full year was strong. We saw healthy bottom-line growth, both from acquisitions as well as organic growth on our base portfolio of assets. In the fourth quarter, net income attributable to the partnership was up 24% from the third quarter, primarily driven by the October acquisition of interest in Mars and Odyssey, and higher revenue recognized attributable to Zydeco. Revenue for the period was $75.6 million, up $7.7 million from the prior quarter, which was mainly due to increased committed shipper volumes on the Zydeco system. Increased committed shipper volumes were helped by an unexpected outage on a third-party pipeline during the fourth quarter. And as John mentioned earlier, several organic growth projects also came on line in September, and we are seeing the full impact of those projects in the fourth quarter. Income from equity investments was $30.9 million, compared to $21.4 million in the previous quarter. Dividend income was $4.5 million, slightly above the prior quarter. In 2017, dividends from Colonial are expected to return to a normal run rate. Adjusted EBITDA attributable to the partnership was $84.3 million, up $16 million or 24% from the prior quarter. And total cash available for distributions was $82.7 million, after adjustments for interest, volume deficiency payments and net maintenance capital expenditures. The partnership declared a distribution of $0.2770 per LP unit for the fourth quarter. This was a 5% increase over the prior quarter’s distribution and 26% higher than the fourth quarter of 2015, which is slightly above the 25% growth rate we had targeted for the year. The resulting distribution coverage ratio for the quarter was 1.4 times. Based on our strong distribution growth, all of the partnership’s subordinated units automatically converted to common units on a one-for-one basis earlier this month. And finally, let me close by spotlighting our liquidity and financial position. At the end of the fourth quarter, the partnership had total cash and cash equivalents of a $122 million. Shell Midstream Partners had total debt outstanding of $686 million, which equates to a two times debt to fourth quarter annualized adjusted EBITDA which is well within the investment grade leverage ratios we’re targeting. Shell Midstream Partners is in the process of entering into a new five-year $600 million fixed rate debt facility with our sponsor. The last three acquisitions made by the partnership were financed with debt and cash on hand. Our balance sheet and financial position put the MLP in a good position to execute on its growth strategy. On a pro forma basis, total credit facilities of the partnership following the addition of the new facility, and expiration of the 364-day facility, was $1.39 billion of which $686 million has been drawn down. And pro forma total available debt capacity remaining under the facilities plus cash on hand would have equaled $826 million. And with that, I’ll hand the call back over to John for some closing remarks.
John Hollowell: Thanks, Susan, appreciate it. Susan and I covered three important highlights from the quarter. We delivered strong bottom-line results, which is an outcome of doing what we said we’re going to do and delivering on our strategy. We completed our third-party acquisition that deepened our core footprint and our strategic position in the Gulf of Mexico. And lastly, we continue to see the benefits of organic growth across our portfolio. And as I announced back in November, Susan is going to be stepping down as CFO of Shell Midstream Partners on March 1st, so to focus on our position as the Head of Mergers and Acquisitions for the Americas. So this is our last chance, last webcast with Susan. I would be remiss, if I didn’t say on behalf of myself and on behalf of all of the Shell Midstream Partner, Susan, we can’t thank you enough for your energy, your enthusiasm, and most importantly, your leadership to get Shell Midstream Partners where it is today. We would not be here without you and your leadership, and I want you to know that. Now, I’m kind of looking at Shawn Carsten, who’s got a smile on his face and he is chomping at the bit, he is ready to go. Shawn, I am convinced that your experiences and your leadership are exactly what we need as we continue to mature and grow our MLP into the future, and I look forward to working with you to do that. And with that folks, I’ll turn the call over to you for your questions. Thanks.
Operator: [Operator Instructions] The first question is from Jeremy Tonet of JP Morgan. Your line is open.
Jeremy Tonet: John, I was wondering if you could touch on, kind of a higher level question, as far as the Gulf of Mexico, what price levels are needed for producers to kind of continue activity going on into the future or what type of economics they see in the current strip now? If you could kind of give us some bigger thoughts there, that would be helpful.
John Hollowell: Jeremy, as we see the activity in the Gulf of Mexico, it really goes into like three areas that the producers are pursuing. They are doing tie-backs. And the bottom-line on that, they could be as low as $25 per barrel breakeven up to $40 a barrel breakeven. And so, those are attractive opportunities that producers continue to pursue. They are also pursuing different fit for purpose type development, which are more fit for purpose type platforms and tie-back, subsea fields too at a lower costs. We see producers saying they can do those in the $40 price range per barrel. And then finally, the mega projects like the Appomatoxes that Shell doing and others, the producers have done a good job of lowering cost over time. And they’ve actually got those -- at least $50 a barrel if not lower, approaching 45. So, all that tails me that the producers are finding ways to lower the breakeven cost of these projects to compete and be able to execute. And I think what’s really important for us though is that most of these projects with the exception of mega projects, will into existing infrastructure, particularly tie-backs where there is available outage on big platforms offshore that subsea projects, the one I mentioned at Thunder Horses is a great example, four wells, subsea, tie-backs and existing platform. Good news for us is that our corridor pipelines are there to get that production and is a real good indicator of the strength of our corridor pipeline strategy.
Jeremy Tonet: Very helpful. Thank you. And just some of -- as CapEx is concerned and organic at the partnership level, I was wondering if you could provide little bit more color on what the 2017 organic CapEx might look like? When does Shell actually get big enough to take on more projects at its level -- at itself before it’s upstairs, is that kind of a near-term or is that still further up at this point?
John Hollowell: Well, it gets larger with time as we grow, Jeremy. And I think we have to take amount of types of projects that we want to take on. So, projects like the ethane supply system that I mentioned to you and the Mattox pipeline, those are further out in time, when Shell Midstream Partners will be big enough to take those projects on, hundreds of millions of dollars. But we do take on the smaller projects and been up to several, [ph] like the ones I mentioned in the call around Houma and the Sun Connection. But in 2017 in particular, to answer your question, $45 million of CapEx at the partnership level and it’s roughly 50-50 between maintenance and growth. With the growth projects, we are going to build some tanks at Houma; that’s where some of our growth to continue to expand the capability of the Zydeco system. And that’d give you good idea of what plan in 2017 between growth and maintenance at about $45 million.
Operator: Thank you. And the next question is from Brian Zarahn of Mizuho. Your line is now open.
John Hollowell: Hi, Brian.
Brian Zarahn: Good morning. Hi, John. I guess I appreciate the color on the offshore outlook. Is your outlook consistent with what you’ve been seeing far in the first quarter this year?
John Hollowell: In terms of what, Brian, activity et cetera?
Brian Zarahn: In terms of volume?
John Hollowell: No. I definitely think so. Several of the fields that came on line towards the end of last year, continue to ramp up this year. Independent, the looks at the Gulf of Mexico continue to support volume growth between 2017 and 2018. And when you look where that volume growth is, Brian, it’s close in the vicinity of corridor pipelines, which again would be -- we could capitalize on that with no CapEx. So, we remain in encouraged by the activity that producers are showing us and the recent results of some of the new fields that come on line. And some of the bigger fields are going to come on line in 2017 and 2018. We talked Stampede, we talked about others that will tie into Amberjack, which ultimately gets into Mars. So, the near-term outlook, we remain encouraged as it relates to volume growth.
Kevin Nichols: And Brian, this is Kevin, I just might add one more thing. So, my commercial organization is as busy or busier responding to requests by producers out in the Gulf of Mexico, looking at what I would call that near-term, medium-term type opportunities for tie-backs et cetera. So, that’s actually picked up a little bit for us.
Brian Zarahn: I appreciate the color, and will stay tuned on potential new announcements. I guess, shifting gears a little bit to third-party acquisitions, obviously dropdowns will remain the key growth driver. But, do you see other opportunities to put some other potential bolt-on acquisitions, whether it’s offshore or onshore?
John Hollowell: Brian, I’ll start and then, Kevin can pick up on it. But, again, our focus on third-party acquisitions are where we can find opportunities that fill a gap in our portfolio and are aligned with our strategy. And I think the BP acquisition really speaks to that. That was one where we could find a way to connect Mattox pipeline in the future with the existing pipeline and have strategic control of the asset all the way to the beach that would be another corridor pipeline and a strategic area as the Eastern Gulf of Mexico in particular where Appomatox is continues to be active with exploration and appraisal activity. So that was a good example and it was the right price as well. We have to also be mindful, as Jeremy asked how far can we grow, the price has to be right and that one really fit to our ticket in terms of how everyone is trying to utilize third-party acquisitions to grow the business. But, Kevin, you may have something to add that.
Kevin Nichols: No. I mean, I think it’s fair, bolt-on, strategic where it complements our portfolio. And my team continues to talk with customers and the market to see what they need in the future, and then we look at the best way to about doing that? Sometimes it’s going to be organic growth capital, sometimes it might be partnership like a solution like the outer belts, sometimes it might actually be something more with an acquisition.
John Hollowell: Brian, as I think about it a bit more too, you rightly pointed out that dropdowns will continue to be the major part of our growth story and it should be and that our sponsor has 3 to $3.5 billion of assets available for drop, and we got a strong sponsor support from Shell. So, I think we’ll always have this balance. And over the last two years, I think we’ve demonstrated that balance where we’ve done organic growth projects on existing systems at the kind of level we can afford, it makes sense at the partnership level. We have continued to exercise the massive runway we have at Shell to drop assets into the MLP with the support from our sponsor. And then when third-party acquisitions make sense like Explorer or like the Endymion and Proteus acquisition, we’ll take advantage of those if it fits the portfolio and fill the need and our strategy.
Brian Zarahn: I appreciate that. Last one from me given the many growth drivers available to Shell, any updated thoughts on how the IDR structure may evolve as the MLP gets bigger?
John Hollowell: Yes. Let me start and I’ll let Susan to fill in some blanks. But right now, the IDR impact is not significant to our cost of capital. So, we’re continuing to watch it. Susan, you may want to add a bit more color on have we look at IDRs and where they’re headed.
Susan Ward: Yes. So, in our lifecycle, we’re early on; our distributions on our IDRs is less than $10 million this past quarter. And we’ll continue to monitor our cost of capital. And if it gets to be challenging, we have all the options open to us, our parent is very supportive.
John Hollowell: Yes. The sponsor is very supportive of these methods, if need be. And that’s always reassuring for us and provides us with a great deal of flexibility as we move forward.
Brian Zarahn: Thank you. And Susan, I know you’ll still be involved with the MLP, but best of luck.
Susan Ward: Thanks, Brian.
Operator: Thank you. The next question is from Anish Kapadia of TPH. Your line is open.
Anish Kapadia: Hi. I have a question first of all on the offshore, again. On slide seven, you’re sharing growth coming through in 2017 and 2018, which is from new projects. Following this period into 2019 and 2020, I was wondering if you expect some decline in production before you see the next wave projects, FID [ph] to come on stream. And also, if you can give some idea of what’s the underlying decline rate that you’re seeing on some of the existing fields with the managed drilling that’s taking place and are you -- have you seen any fall in infill drilling again, as we’ve seen that kind of substantial decrease in the rig count?
Kevin Nichols: Yes. John, maybe I can take that one. This is Kevin. Great questions. You had a couple of questions in there. So, let me try to address each of those and then come back and if I’ve missed one, let me know. Actually, we continue to be bullish in 2019, 2020 and beyond. Appomatox is an example of that. That’s not expected to come on in the next two years. So, we will have projects like that maturing. Don’t forget that when Big Foot and Stampede, those kind of platforms come on line, they continue to mature into season. If they’re coming on line at the end of 2017 and 2018, we expect those to continue to ramp up. As we’ve seen evidence by like say Jack St. Malo, which came on in late 2014 and has continued to set new highs year and a half going into second year, later. And with regards to the well declines, there is always -- it is always a difficult one for us to predict because varies field by field and well by well.
John Hollowell: But I think that seeks [ph] Kevin to the strength of our corridor pipeline strategy. So, in this, you ask about individual well declines, we don’t actually watch that that much. We are looking at overall throughput. So, as you know, several fields are connected and several platforms are connected each of our corridor pipelines. So, and the slide that you’re looking, on slide seven, slide seven kind of shows what happens with time. So, as some fields go down, other fields come up that are new or they are doing redevelopment. So from an individual well perspective, we don’t have a lot of deep insight to that. It’s probably better to ask the upstream guys about that. But as far as the corridor pipelines go, whether the market’s good or the market’s not, we continue to see them sustain or grow their rate over time. And I think that’s important as it relates to our corridor pipeline strategy offshore.
Kevin Nichols: Yes. Even though a well may decline, what we are seeing with existing fields and producers is that they add additional wells to offset that. That kind of goes to John’s point, which with regards to our pipeline, we don’t necessarily see a well decline or field decline, because they are doing some infill drilling and adding new wells as we go.
John Hollowell: But, I think Kevin is also right in one area and this is when you think about out into the future, Appomatox end of the decade kind of an event for coming on line. So, as this near-term growth unwinds a bit, I think we’re going to begin to see some of the bigger mega projects that have been under development several years, beginning to come on line in this play. So, overall throughputs in the Gulf of Mexico, hard to tell, but I think we are starting to see how that comes about.
Anish Kapadia: I have a second question on the onshore. I think one of the areas of interest in the market at the movement, one of the opportunities that people have been talking about is that the Permian with regards to potential [indiscernible] takeaway capacity. Is that an area that you’re looking at getting involved with? Is it something that you can kind of take advantage of with Shell’s position in the Permian and kind of any potential for assets that could be dropped down?
John Hollowell: Well, absolutely, Anish. We’re working closely with our upstream colleagues, Greg Guidry and his group in the Permian asset. They’ve got a great position out there that provides us with the opportunity for growth. So absolutely, we’re reviewing that and looking at the options that we may have to include midstream assets from that part of Shell’s portfolio into the MLP.
Operator: Thank you. [Operator Instructions] We have no further questions in the queue. I will now turn the call back over to Courtney Selinidis. You may begin.
Courtney Selinidis: Thank you very much for your interest in Shell Midstream Partners. For additional or follow-up questions, please call me directly. My contact information can be found on the presentation materials as well as on our website, shellmidstreampartners.com.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. You may now disconnect. Good day.